Operator: Thank you very much for waiting. Now we'd like to start the SoftBank Group Corporation investor briefing for the fiscal year ended March 31, 2024. I'd like to introduce the representatives from SoftBank. We have Mr. Goto, Board Director, CFO; Ms. Kimiwada, Corporate Officer, Senior Vice President, Head of Accounting; Mr. Navneet Govil, CFO, Softbank Investment Advisors and SB Global Adviser; Mr. Jason Child, Executive Vice President and CFO of Arm. This session starts with the overview of our consolidated results by Ms. Kimiwada; financial updates by Mr. Goto; SoftBank Vision Fund update by Mr. Navneet Govil; followed by Arm updates by Mr. Jason Child. Simultaneous interpretation is available for this meeting. You can choose either English or Japanese. And if you do not choose the language, you will hear the original voice of the speaker. You can make questions in both English and Japanese after the presentation. Material for today is available at our corporate website. Now I'd like to invite Ms. Kimiwada to talk about the consolidated results.
Kazuko Kimiwada: Good evening. My name is Kimiwada. Thank you very much for joining. Let me talk about the consolidated results. Please take a look at Page 2. This result was already announced earlier, the result of FY '23.  As we explained, we recorded a net loss of JPY 227 billion. Even though we recorded loss compared to the previous year, we have improved over JPY 700 billion. And important business of our group investments in FY '23, we improved over JPY 200 billion especially Vision Fund business contributed a lot to that improvement. And just to remind you that our subsidiaries, including Arm and SoftBank KK are consolidated. Their share price changes do not impact consolidated P&L, just to remind you. They are listed companies and their share prices are fluctuating, depending on the market conditions. But again, share price changes do not impact consolidated P&L. And part of Arm shares were sold and gained from the sale. Since Arm is our subsidiary, the gain from the sale was recorded in assets, but not reflected on the income from consolidated P&L prospective. Page 3 shows net income and SVF segment income. Overall, those are correlated, just for your information. Page 4, investment business of holding company segment. In FY '22, we recorded JPY 3.3 trillion. And FY '23, recorded worth of JPY 27 billion. In FY '22, Alibaba prepaid forward contracts. Gain from that settlement was recorded in FY '22 and FY '23. As for Alibaba, share prices were on downtrend. And on contrary, gain from derivative transaction offset almost. And in the third quarter, we met conditions of T-Mobile contingent consideration about earnout every quarter. We recorded at a fair value basis in FY '23. The difference was reflected. And since then, T-Mobile share has been enjoying a good price and fair value or better fair value was recorded in the P&L. Next slide shows acquisition of T-Mobile shares for no additional consideration. In the third quarter, I mentioned earlier, we met additional -- sorry, we met conditions, and we got the T-Mobile shares with no additional consideration. And before, we recorded as derivative, which was shown in light yellow. And since we acquired T-Mobile shares in the third quarter, the valuation gain is reflected in dark yellow. As of end of March, we saw about $8 billion in value. Next slide shows SBG's holding of T-Mobile shares. At the end of third quarter, we started adding a dark yellow part, which indicates we acquired T-Mobile shares by satisfying certain conditions. Deutsche Telekom still has call options and the derivative portion of that is shown in gray. So what it shows is that after netting derivative, we have over $14 billion worth of T-Mobile shares after netting out of Deutsche Telekom's call option. Next slide shows SBG's holding of Deutsche Telekom shares. Next slide shows Alibaba shares and derivative financial assets and/or liabilities. Amount recorded in the balance sheet, since Alibaba share price went down, it was offset by a derivative valuation gain almost. Next slide, Slide 9 is talking about SoftBank Vision Fund segment. We recorded segment gain in FY '23. I believe Navneet will talk more about the Vision Fund business later. But from SBG's perspective, please take a look at the next slide, difference between segment results and consolidated PL. We mentioned this in the previous quarter. The SoftBank Vision Fund sold shares to SoftBank Group and the gain from the sale was about JPY 8 billion. But since it was intergroup transaction, from consolidated PL perspective, that gain was eliminated. But Vision Fund 1 had a third-party interest. So third-party interest, which is outside SoftBank Group was recorded in consolidated PL, which was about JPY 390 billion. We explained this before, but this is very important. So I just wanted to remind you of this point. Next slide, Slide 12. This slide is talking about WeWork on consolidated basis. Those are the numbers as of end of Q3, stock and warrants, notes and credit support all taken care of. So we have changed nothing since the third quarter. Next slide, Slide 13, jumping from one subject to the other, sorry about that. This is talking about Arm segment in SBG's consolidated financial report, bridge to Arm's disclosure. We have been talking about this since second quarter. The biggest thing is amortization expenses related to intangible assets recognized in the purchase price allocation at the time of acquisition of Arm by SBG. And that is adjustment one and adjustment two is talking about the difference of accounting standard IFRS versus U.S. GAAP. Next slide shows consolidated PL summary. I'd like you to take a look at the financial reports. When you have time. But just one point, I just want to highlight here. Income tax -- income before income tax was JPY 57 billion, and income tax was JPY 151 billion. You may wonder why. If you take a look at on the right-hand side, number 8 and the second bullet point, JPY 580.5 billion deferred income taxes recorded as credit, because of the reversal of deferred tax liabilities, which is actually explained on the next page. Second from the left, current income taxes was minus JPY 429 billion and deferred tax expenses, which was JPY 580 billion, mainly due to the reversal of deferred tax liabilities recognized at FY '22 and which are based on future tax estimates related to Alibaba shares and associated derivatives, following the completion of a portion of fiscal settlement of prepaid forward contracts using Alibaba shares at the wholly owned subsidiary. So where did it go? There is a taxable income of a company that recorded deferred tax expenses, but there are interest to be paid and some companies may utilize loss carried forward. So in reality, deferred tax expenses did not really get materialized as much as deferred tax liabilities. And net income was JPY 209 billion, which include not only parent company but also subsidiaries. For SBG, net income attributable to owners of the parent was negative JPY 227 billion. And second from the right, RevPAR was net income attributable to noncontrolling interest. Next slide shows difference in tax rate. Next slide, Page 17, loss carried forward at the level of SoftBank Group. You need to utilize loss carry forward as needed, otherwise, it will be just simply a loss. In fact, FY '23, we utilized this loss carryforward. Like I said earlier, at the time of physical settlement of Alibaba shares, we took advantage of this tool. And we have loss carryforward over JPY 2.9 trillion at income base. And tax base was JPY 919 billion. But carrying amounts in BS was JPY 563 billion. Talking about the tax again, next slide shows income taxes paid on a consolidated basis. In FY '23, we paid JPY 116.8 billion in tax, of which in Japan, JPY 770 billion, mainly in Japan and JPY 99 billion overseas, we did pay a tax in FY '23. Next page shows consolidated summary. Please take a look at this slide later. And Slide 20 shows investment securities in consolidated BS, main investments other than Vision Fund. Obviously, Alibaba is included. On balance sheet, they are still on the balance sheet, which is about JPY 3.7 trillion. In T-Mobile, Deutsche Telekom, due to weaker yen and increased share prices, we recorded positive numbers and other main investments, including Symbotic and NVIDIA and others holding by SBKK Group, for example. Page 21 is breakdown of goodwill and intangible assets. It may look like a huge goodwill was recorded all of a sudden related to Arm. This is due to weaker yen. So nothing new added on Arm. And moving on to page 24 and 25, actually impact of a weaker yen on PL and BS, just to give you an idea. In FY '23, due to weaker yen, we recorded a loss from foreign exchange on PL. In BS, we saw an increase in net asset. On Page 27 and 28, it shows co-investment program. Thank you very much for your attention. That's all from myself.
Operator: Next is Mr. Goto, who will update you on financials. Goto-san, please?
Yoshimitsu Goto: Yes, this is Goto speaking. Thank you very much for your time today. So let me jump into our presentation. So here is regarding the current market. So interest rate, stock price and the foreign exchange rate. So this is the past 1-year fluctuation. U.S. interest rate, now the bit slowdown in terms of the increasing in rates and the stock index, anything that relates to us, especially the stocks and VC, those are the 2 main highlights that we need to pay attention to, and these are actually the highest, which is also happy news for us. And the risk for us, which is the China stock index is still actually suffering. Therefore, I would say, our regional allocation of the investments, it's still to minimize exposure in China, and that direction has no change on that. Exchange rate, difficult to say, but as net asset value is one of our key performance indicator, weak yen is actually positive in terms of assets point of view. And the impact to our net asset value from the current market, net asset value itself is actually doubled from the previous fiscal year-end, mainly, of course, due to the Arm and other portfolio company share price increase, and also some foreign exchange impact, which is about JPY 3.3 trillion. And the equity value of holdings here. And also, you can see the changes of the allocations. So since 2017 for 7 years, Alibaba was actually accounted for 50%, and now Arm is accounting for 50%. So completely changed the allocations. And also another big agenda is the listed asset ratio. So now that we have about 79% of the listed assets, so that is actually good in terms of the liquidity. And net asset value trend, so these are the projects we've been through in the past. And as you can see, I joined SoftBank from year 2000. So actually, these are the good memories as a matter of fact. But now you see that Arm is the biggest driving force. And also, we are very happy to see Arm is going to lead the AI development in the world, and we are very much high conviction on that. So that's another area or another next chapter that we will be looking forward to. And this is a summary for 2023 fiscal year, and there are 3 major highlights.  KPI wise, net asset value and loan-to-value, these are very satisfactory level and operations for net asset value and the loan-to-value management point of view. So JPY 27.8 trillion of net asset value and 8.4% of loan-to-value, which was about 3 percentage point improvements. Net debt, JPY 2.6 trillion, cash position, JPY 4.7 trillion. So while keeping the financial discipline, we are also being offensive in terms of investment. In the financing, we had asset-backed finance utilizing Alibaba share, and this was the last round of the transaction, which was about JPY 600 billion. In total, we monetized -- completed the monetization of about JPY 10 trillion. And refinancing of the margin loan utilizing Arm shares, which was additional JPY 1.2 trillion and offering at IPO of Arm shares which was about $5.1 billion. So only 10% of the outstandings has been offered to the market. And after then, we've been seeing a very good performance of Arm share and that contributed to our net asset value. At the same time, we do have several financing which is coming due. So JPY 500 billion of the redemption of bonds, but happily, we were able to have a good demand to refinance those. At the same time, refinance of Hybrid bonds and the renewable -- renewal of the commitment line has also had a stable renewal or has been completed. Investments, Arm IPO, as I mentioned earlier. In the end of December, we had earnout achievements of the T-Mobile shares, which was about JPY 1.1 trillion equivalent, which was very positive to our financials. And Vision Fund gain and loss, which actually improved by JPY 5.2 trillion, which was a quite a big improvement that we've been able to see this time. And at the same time, being selective while resuming our investments. So investment amount was about $3.9 billion for full year. But other than that, we have a commitment of JPY 5 billion. So investment activity was, in total, we are operating under 9 billion sites. This is the equity value of holdings, not a net basis, but this is the value of the shares itself. And as of the end of March, it's exceeding JPY 30 trillion. So equity value of holdings became also doubling. And the listed asset ratio, 79%, a record high. So we have a very high liquidity of our portfolio and very stable as well, which is a very positive factor for our credit point of view. And when you look at the risk of our credit, our safety net varies based on the -- our portfolio status. So short-term period, if we have a fluctuation, what kind of safety net do we have? So first of all, cash position, which I've been saying. Cash is king. So that's always the kind of a key message for us. So we always maintain our cash position, which is covering 2-year equivalent of bond redemption. So that's the discipline and rule for the company. And loan-to-value management that our policy is to keep below 25% in principle. Currently, 8.4%, so we believe this is extremely safe level. So if there is any 50% discount of the equity value of holdings, but still we will be able to keep our loan to value below 20%. So that's how safe we are. And in any circumstance, we've been monetizing. So we do have a very good execution capability. So for example, back in 2020 and pandemic, we have executed monetization of JPY 5.6 trillion. Our first announcement was JPY 4 trillion, but actually, we were able to achieve JPY 5.6 trillion in 6 months. So when we say it, we do it, we execute it. That's the kind of policy we have. And this is the quarterly base of the invested amount fiscal 2022. So a year ago, we had a big investment in the first quarter. And after then, it was relatively small, But starting from fiscal 2023, we distributed relatively evenly, and we had $5 billion of strategic investments committed capital for a year. So as for this $5 billion, this is going to be utilized over a few years ahead. And there are some scheduled for the payments and also some investment in joint venture. And based on the progress of the project by such joint venture, the schedules of the payment, schedule of the investments may defer. So we -- I should say, up to or maximum $5 billion. And the loan to value also from the past, currently 8.4%, which is record low loan to value. Cash position, again, very stable and also covering the 2-year equivalents of the bond redemption, which is JPY 1.7 trillion. So with JPY 4.7 trillion, we have probably almost 5-year equivalents of the coverage for bond redemption now. So with such rich cash position, are we managing well? That's another question you may have. And here is the breakdown. About 70% are the U.S. dollars. So you can see the interest rate on your right-hand side, main -- mostly 5.5% of the yield, which we have a very tough negotiation with bankers, and we were able to achieve 5.5% yield. So compared to other fixed income management, I believe we have a yield and also the safetiness and this is probably the best way we can manage for such cash position. And currency exchange, JPY 18 weaker, so this may be translated to JPY 3.3 trillion as an impact to net asset value. This is negative for the consolidated net income by JPY 0.7 trillion. If you only take -- pick up the fourth quarter from January to March,  it was weaker by JPY 10, JPY 1.8 trillion increase in net asset value and minus JPY 0.4 trillion negative to consolidated net income. Redemptions. This is as we've been reporting regularly, and we have JPY 700 billion of the redemption for fiscal 2024. So for March and April, we had quite a large issuance for retail bonds and wholesale bonds. And also happily, we were able to receive very good demand. And the retail, which was JPY 550 billion, largest ever and a 7-year tenor. And also in April this year, we issued senior bonds for wholesale investors total JPY 100 billion, again, largest ever. So retail JPY 550 billion is the largest mean, largest senior bond issuance ever. And at the same time, we had a very good demand. And actually, the online sales was JPY 400 billion has been sold out in 26 minutes. So this was how welcomed by the market. And for the institutionals, main objective for this issuance was to tighten the spread for the secondary market. That's the one agenda for the issuance of the institutionals. So this is the data spreads of JGB. So it's a bit difficult to predict how that is going to move, but actually, taking a look at this indicator, try to tighten the spread. And I believe we were able to achieve that objective by issuing the senior wholesale bonds. At the same time, we had the upgrade by JCR, so that's another follow wind as well. And for retail bonds, I have some pages to summarize. So this is Bank of Japan statistics, household financial assets. And there are about JPY 2,441 trillion. And back in 2005, that was the first issuance of the retail bonds, and that was -- by then was JPY 1,631 trillion. And that -- since then, majority, I would say, more than 50% are the deposit managements, which is I believe, rare compared to the other global market. And one of the reason is probably there is no suitable products or instruments that they can utilize to manage their assets. And yield-wise, 0.0-some-percent it's not really the good management of the assets. So that's the kind of a market we were targeted for, and we were hoping to be able to provide such a product which was back in 2005. And but then was about JPY 1.2 trillion corporate bonds, and now it's grown to JPY 8 trillion level. And in the process of increasing such market, there are also increase in corporate bonds with a total amount of debt securities held by household. And this is the history, the total -- the cumulative issue has reaching almost to JPY 8 trillion. And every time of the redemption, we've been having a stable refinancing and at the same time, upsizing the products. Every time of the refinance, we try to provide the high performance or high-satisfactory products to the customers so that the refinance timing always being able to achieve the oversubscription and upsizing the product. Retail market, as you can see on your left, we were the #1 issuer, about JPY 3.8 trillion outstanding at this moment. And look at the others, almost financial institutions on below of us. So through such issuance, what is our position? So you can tell from this graph, bank's time of deposit and SBG retail bonds, if you compare that, I believe we are providing or issuing the products or instruments that comes to equivalent level of the other financial institutions. So through our bonds, we've been accessing to retail investors and institutional investors, and we also see the very importance of the fiducial duties. So governance in terms of the compliance, that is something that we enhance internally, and that's been growing even further through our issuance. And the products for the retail investors, actually, we do provide other than what I have just explained. So other than senior bonds, we have other type of debt as well. So based on the preference of the retail investors we've been issuing, so we have JPY 1 trillion issuance of subordinated bonds and also JPY 627 billion of the hybrid bonds as well. I haven't touched on this too much, but also we have money trust as well so that we have about 1 year tenure trust instrument as well, which is also well received as well is growing. As a result, not only for the retail investors, but also short-term financing balance wise, we have about JPY 484 billion of the outstanding of short-term financing, but at the same time, the benefit of lengths is not available. But at the same time, this is very cheap instrument as well. So within a safe level, we would also like to well utilize the short-term product at the same time. So the objective for such proceeds can be, for example, a bridge finance for any projects as an alternative option so that we've been able to access to many types of the investors in many ways. And now our commitment -- credit line facilities, JPY 500 billion, so that I believe this is a very healthy lever of the short-term financing, and we would like to maintain this level. And our financing and the finance management plans, no change -- no major change. Basically, domestic bond refinancing and when we have good demand, we may consider upsizing to some extent. Asset-backed finance, currently, we are utilizing JPY 21 trillion equivalent of the very high liquid public assets. So that can be a good option for diversification of financing as well. Hybrid financing, mainly for refinancing. In excess cash management, continued work on diversification. We don't specifically focus on one thing, but we would like to diversify in a good balanced way. Net interest-bearing debt gross basis, no major change, about JPY 14 trillion. And of each cash position, excluding credit line, about JPY 3.9 trillion. So with that our gross debt minus cash, so net debt is, as you can see, about JPY 2.5 trillion. So I think it's very healthy status. Credit rating. This time, we've been upgraded by JCR, first, upgrade in 12 years. For long years -- our financial disciplines and financial policy being kept as we explained for long years. And at the same time, in addition to that, we had a good IPO bond and increasing in the asset value. And along with that, we have a large comprehensive improvements of net asset value. As a result, we were able to have this time upgrade. S&P outlook has changed to positive. So in the sometime near future, hopefully, they will be able to see our credit similar to JCR and we are continuously having a dialogue with them about that. In the approach to financial strategy, we've been keeping our financial discipline, financial policy no change. And if you put it into our strategy, our rule is always kept the same as a financial philosophy or financial principles. But the very basic is that we always need to synchronize with our investment strategy. So because we are the investment company, we have to be fully synchronizing our investment strategy. So what I'm trying to say is that we -- the finance department cannot be too conservative, for example, so that we try to support the management to be able to achieve the investment strategy. So we have to keep our word. So financial discipline has to be kept all the time. But at the same time, while we're keeping such discipline, but the environment changes as well. So for those changes, we have to be flexible to address those changes at the same time. And shareholders are important, but at the same time, we are the company utilizing leverage fully. Then not only shareholders, but also bondholders also as the -- as well as the important stakeholder, so we try to achieve the best optimal balance in between those stakeholders and at the same time, try to build the maximum trusting relationship with those stakeholders. And based on that, that we come to our financial strategy. So our financial strategy has been changing a bit based on the environment. So you see fiscal '18 to fiscal '23, those are the key ones for each fiscal year. Back in fiscal '18, we became a holding company, and that was the initial year of being holding company. Before then, we were, because SoftBank KK, the telecommunication operator was private company, so us were -- we were comprehensive telecommunication company, but we became as pure investment holding company. That we said that we've been changing our financial strategy little by little. And after then, we had a pandemic or Silicon Valley Bank. Those time that we were trying to be very conservative to make sure we have a very robust financial basis. And now that we are in fiscal 2023, so here, you see net consolidated interest-bearing debt, we have about JPY 21 trillion. And if you break down this JPY 21 trillion, debt for self-financing entities, which are independent companies, those debt that does not recourse to SoftBank Group. Asset bank finance does not recourse to us. So there are nonrecourse financing and excluding those and also netting cash position, our net interest-bearing debt is about JPY 2.6 trillion. So finance contributing to corporate credit is JPY 2.6 trillion here. In the consolidated interest-bearing debt, JPY 21 trillion, what kind of challenge were we able to make? You see  a variety of the utilization of consolidated interest-bearing debt we were able to increase the consolidated total asset. So if you only look at the recourse financing, we were not able to grow this much. But this -- because our companies, group companies or fund making good growth in each credit has been fully utilized. As a result, we were able to see the good growth in the group overall. So holding assets were those independent entities, those credit has been well used so that, that actually made us grow. Another unique aspect for us was the -- starting from the middle 2021 to '23, we were seeing a big drop of our equity value of holdings. So once you see the decrease in asset loan to value, as long as debt is the same, then you're going to be worsening in terms of loan-to-value. So even we see the drop of the share price, but still we are able to manage our loan-to-value law that was very ideal of which we were financially managing our assets  and that operation is necessary, and that's something that we have expertise because assets are not always growing, sometimes they decrease and increase. And while we see those, we try to bring all those in growth. But at the same time, we believe it is important to be able to understand how can we manage our loan-to-value when we see the drop of the share price. As a result, share price, of course, the big contributor was the IPO, but at the same time, senior notes spread been improving, share price increasing and the upgrade has been achieved. In financial strategy, in such circumstance, we would like to keep our philosophy and principle disciplined and, at the same time, we would like to prioritize growth investments for future net asset value expansion. So effective utilization of cash position, active use of nonrecourse financing to support the strategic investments and enhance monitoring of portfolio. So that monetization and the investment cycle needs to be taken place. So I believe that you're tired of looking at this page, I love you tired of this page because I've been -- I will be continuously use at this page. And that is all for the finance. And only one summary I would like to make from the promoting sustainability from Mr. Agadi, the Head of -- Chief Sustainability Officer. So I would like to touch on the promoting sustainability status. So as in the fiscal year-end, we have about 6 pages, highlight is our first page, responsible AI. This is the priority for the SoftBank Group sustainability discussion because we are the company that addressing AI revolution. So we would like to correctly in this responsible way that we would like to utilize AI. And considering -- we start considering and discussing appropriate AI governance structure for SBG. So any company that investing in AI, utilizing AI, there are many ways of involving in AI. And among those consideration, we would like to seek for the most appropriate AI governance structure. So recognizing risk, but at the same time, we would like to bring it to the practical way. We are promoting capital resources, and we revised material issues. We have been promoting sustainability as an investment company. And as you can see, we have taken different initiatives to promote sustainability as an investment company. Also, we helped victims of the Noto earthquake. And MSCI, one of the ESG rating last year, we saw our rank up from A to AA. SBG is now the leader as opposed to an average in the industry. That was our initiatives of sustainability and if you have a take a look at those slides, when you have time, that will be appreciated. Thank you very much. Next, Mr. Navneet Govil, will give you an update on the Vision Fund status. Navneet, please.
Navneet Govil: Hello, everyone. Thank you for joining us today. I'll summarize our key performance highlights and the financial impact for the fiscal quarter ended March 31. Before we get started, please read the legal disclaimers on Slides 2 and 3 or refer to the online presentation for more details. I'd like to begin by giving our perspective on the current market. While the inflation picture has improved, CPI levels remain elevated and rates look likely to stay higher for longer. Looking at the chart on the left, the example of the 1970s double dip shows us the need for caution. This sentiment is also reflected in the private markets with the final quarter of calendar year 2023 registering the slowest pace of dealmaking in over 6 years. In contrast, in 2023, the NASDAQ was up by 43% and the S&P 500 by 24%. The strong performance in public equities was driven principally by large technology companies. In fact, the Magnificent 7 accounted for 2/3 of the gains in the S&P 500 last year. The performance of the Fab 4, NVIDIA, Microsoft, Meta and Amazon, in particular, accounts for the divergence with the broader market we've seen in recent months. Private valuations, meanwhile, have remained persistently cautious, which is borne out in this quarter's earnings. Against this market backdrop, we continue to have conviction in the choices we've made and the patience to see them through. As you can see on Slide 5, this past fiscal year was a positive year collectively for the Vision and LatAm funds. This culminated in a $4.5 billion gain over the fiscal year. There was a slight dip in the March quarter with a $500 million markdown, principally driven by share price declines in some of our public assets and small revisions to a number of private portfolio companies. Turning to Slide 6. We dig into the quarterly performance for each of the funds. As I've said, there was a combined portfolio markdown of $0.5 billion, with public and private assets accounting for a decline of $0.1 billion and $0.4 billion, respectively. Public assets held within Vision Fund 1 and the LatAm funds saw marginal uplift through the companies highlighted, while Vision Fund 2 saw a slight decline in its listed portfolio, primarily driven by volatility in auto store and Symbotic. Private portfolio valuations were largely flat across the funds as our valuations remain prudent with minor adjustments driven by idiosyncratic factors. Against this backdrop, Slide 7 demonstrates that performance was balanced across our diversified global public portfolio, with gains in some positions matched by pullbacks in others. Across the 45 public holdings that we are yet to fully exit, there is a $21 billion of unrealized fair value. Our public positions represent about 27% of our total unrealized portfolio. Consensus top line revenue estimates presented here in the fourth column show our largest public holdings are, for the most part, expected to demonstrate double-digit growth. However, for many of our public investments, current market cap is significantly lower than the peak market cap over the last few years. Given the top line growth and strong profitability profile of these public companies, we remain optimistic about their upside potential. Moving on, Slide 8 provides equivalent numbers for our private portfolio, accounting for 73% of the combined fund's unrealized fair value. I've provided an overview of our largest unlisted positions by fund in previous presentations, but would like to call out some individual highlights over the quarter. For Vision Fund 1, Fanatics continues to make progress integrating the U.S. business of PointsBet with sports books now live in 17 states as of March 31. For Fund 2, Klarna continues to harness the latest technologies to improve operational profitability. Its generative AI platform now handles over 2/3 of customer interactions. And LatAm Fund Company WellHub, formerly known as Gympass, grew year-over-year revenues by 70% as it commences preparations for an international IPO. On Slide 9, let's take a look at what this means for the overall snapshot for each of the funds. Total fair value now stands at $146.2 billion, with Vision Fund 1 accounting for $18.9 billion in cumulative gains since inception. Combined distributions to our limited partners now stands at $60.1 billion. Let's turn to the next slide. Last quarter has seen a lot of political, regulatory and media coverage around one of Vision Fund 1's largest private portfolio companies by ByteDance. The company's size, success in geographic routes in China means ByteDance continues to operate under exceptional international scrutiny. President Biden recently signed the TikTok divestment bill, which the company is actively contesting. The result is that we have a potentially long and uncertain road ahead. We continue to monitor key developments closely, but observe that TikTok remains a high-demand platform that continues to perform well ahead of its peers. As reported by international media recently, ByteDance's profits rose roughly 60% last year, with the company earnings exceeding $40 billion, up from $25 billion in 2022. I've spoken in the past about the work we've done alongside our portfolio companies to encourage capital-efficient growth. I'm pleased to report ongoing progress. Slide 11 demonstrates that many of the companies are successfully growing revenue, while also maintaining strong cash positions. Our private companies continue to see strong top line growth. By fair value, 41% of our portfolio is experiencing over 40% year-over-year revenue growth, while 53% are achieving over 25% year-over-year growth. Cash burn has reduced significantly. Across the portfolio, the shifts towards profitability continues, and we have seen a 43% median reduction in cash burn. Across all 3 funds, over 90% of our portfolio companies maintain a cash runway in excess of 12 months. The macroeconomic environment has affected the entire technology ecosystem and our portfolio has shown itself to be resilient. This ability to operate with discipline is one of the reasons we continue to have strong conviction in our investments. Turning to Slide 12. M&A presents both a compelling path to exit for many of our investments and a way for our portfolio companies to solidify their market position and accomplish growth. Since inception, we've seen 14 strategic exits, generating a gross MOIC of 1.7x. This includes our exits of Cruise, OSIsoft and Pismo, the latter of which was recently acquired for $1 billion by Visa. As an enabler of growth, M&A activity continues at pace across our portfolio. In February, for example, Cohesity announced plans to merge its data protection business with Veritas to become the new market leader in data security and management. Based on Cohesity's calculations, the combined company's global footprint has $1.6 billion of pro forma annual revenue and has expanded to serve 10,000-plus clients, including 96 of the Fortune 100. Let us now turn to public listings, another path to exit for many of our investments. Despite the mixed reception for public offerings in recent years and the meaningful slowdown of activity in 2022 and 2023, we believe the IPO outlook is likely to improve in the medium term and more companies will step toward public markets. As you can see from Slide 13, we have a strong pipeline of companies that have done the critical work needed to get ready for a future listing when the right moment comes. Our late-stage portfolio is currently marked at $32 billion, and we believe we will add to the existing tally of 50 listings since inception. Turning to Slide 14. Here, we are briefly spotlighting the Indian market and our local portfolio, which we believe shows considerable promise. On a macro basis, there are undeniable demographic and economic trends providing tailwinds for the country as a whole. By 2047, 61% of the population is projected to be designated middle class, which is an increase from the current 40%. The Vision Funds are one of the largest investors in India and have a very strong local portfolio. Our companies accounted for 50% of all private growth capital investment in 2023 and 60% of all public capital raised in the past 3 years in India. A few names to highlight, OfBusiness. One of the leading raw material SME procurement platforms in India is digitizing a $400 billion market that is still largely off-line and legacy. The company doubled revenues and profits in fiscal year '23. Lenskart, one of Asia's largest eyewear manufacturers and retailers after the acquisition of the Japan-based OWNDAYS shows continued strong growth and profitability. And Swiggy, one of India's leading food delivery and quick commerce platforms grew 40% year-over-year in fiscal year '23 and its core food delivery business achieved profitability. As long-term investors, it is our role to identify the mega trends that will shape the future. and the innovators and business leaders who are building companies around that. Son-san's vision has always pushed us to invest beyond the horizon. Despite short-term volatility, we have conviction that our long-term thesis is correct, that the AI revolution is a transformative force shaping every industry across the world. Vision, conviction and patience are the core values underpinning our global investment platform. Through Vision Fund 1 -- though Vision Fund 1 has fully exited the position our Arm investment exemplifies the value of this approach. Arm was ultimately the fifth largest IPO of all time, but it was chiefly vision, conviction and patience that ensured SoftBank maximized its opportunity. When SoftBank took Arm private at a valuation of $32 billion in 2016, there was no shortage of critics. But under SoftBank's stewardship, the company has thrived at the forefront of the AI revolution. Today, our portfolio has registered 64 IPOs and strategic exits and we have a late-stage pipeline of $32 billion. With 7 to 10 years left across the fund life cycles, the portfolio represents exposure across the full stack of AI technologies at a global level, and we are excited for what is still to come. We continue to be focused on our work to deliver returns to our limited partners and SoftBank by identifying and supporting the transformative companies of tomorrow. Thank you.
Unknown Executive: Last but not the least, Mr. Jason Child will give you an Arm update. Jason, please.
Jason Child: Thank you. As a reminder, there is a difference in how SoftBank and Arm presents its numbers. Firstly, Arm presents our accounts under U.S. GAAP, not IFRS. This can lead to differences between how Arm and SoftBank present our respective numbers. And secondly, we have adopted the U.S. standard approach for naming our years. So for the fiscal year ended March 31, 2024. We call this period fiscal year ending 2024 or FYE '24. SoftBank calls this fiscal year 2023, so please take care when comparing financial years. Now let me walk you through the financial highlights of the quarter. You may remember that last quarter, Arm reported record revenues. I'm very happy to say that, today, Arm has reported even higher revenues, a record once again. For the quarter, Arm's revenues are $928 million, up 47% year-over-year. This was driven by record royalty revenue, up 37% year-over-year, and strong license revenues up 60% year-over-year. Royalty revenue was helped by the recovery in the semiconductor industry. Q4 a year ago was the bottom of the most recent inventory cycle, particularly in smartphones, and we have seen strong industry growth over the year. In addition, Arm is outperforming the industry due to higher royalty rates from our latest technology, such as Arm B9 and market share gains in areas such as servers and automotive. License revenue was driven by Arm signing multiple high-level -- sorry, high-value long-term agreements, including 4 more Arm total access agreements. Arm's gross margins remained very high at 97%. Arm's non-GAAP operating expenses were down 60% year-over-year at $511 million. This decrease is primarily due to a change in a component of employee remuneration from cash-based to equity-based. Underlying costs are driven by headcount, which is up 19% year-over-year, as we continue to hire more engineers and invest in R&D. Non-GAAP operating profit was $391 million, producing an operating margin of 42%. And finally, ARM generated around $637 million of free cash resulting in cash, cash equivalents and short-term investments of $2.9 billion. However, it is worth noting that $573 million of this was related to timing of payments for certain employee payroll taxes. These taxes will be paid out in the current quarter. As there is seasonality in our business and thus, the collections on revenues, it is best to evaluate free cash flow and cash conversion on a trailing 12-month basis. Our trailing 12-month cash -- free cash is $907 million, corresponding to revenue-to-cash conversion of 28%. Arm processors are about 50% penetrated into the semiconductor industry. Although we expect to outperform over the long term as we continue to gain market share, we are still impacted by near-term ups and downs of the industry. Calendar '22 was a period of decline for the industry, whereas calendar '23 was a year of recovery. Looking across our industry peers, many have communicated expectations for sequential declines in fiscal Q1. In smartphone, this is related to the cadence of flagship product launches, and in industrial, automotive and network and equipment, this relates to ongoing market inventory corrections. However, there is a general expectation for improving conditions throughout the balance of the year. You will see this reflected in our guidance, which I will come to in a moment. All the major hyperscalers have now introduced Arm-based chips for their data centers. Most are building their own chips, although they can also buy in from merchant semiconductor companies. Google is the most recent addition. During the quarter, they announced their Google Axion chip, which is based on Arm's Neoverse V2 product. Also during the quarter, NVIDIA announced their second-generation Arm-based AI accelerator product, Grace Blackwell. All of these companies are basing their chips on Arm because of the massive power savings they can achieve. A quick glance of the press releases from these companies, you will see them all claiming more performance or much lower power than when using chips using x86-based chips. The need to save energy in the data center has become critical, especially with more AI-related workloads being run. According to analyst reports, data centers in the U.S. already consume over 120 terawatt hours of energy per year. This is forecast to triple by 2030. Not all this energy is consumed by the main chip. A lot of the electricity goes into moving data into and out of the data center and then storing -- the storing of data in huge disk drives. We estimate that around 1/3 of the electricity is used to process the data, and if all these chips were Arm-based, this would save more than 15% of the total energy consumed by the data center. That may not sound like much, but if someone offered to cut your electricity bill by 15%, I'm sure you'd be happy to accept it. My final slide is on our guidance. After 3 quarters of record revenues, we are forecasting that Q1 will be slightly down than Q4. As you saw from the industry slide earlier, this is not surprising as some of our customers are expecting seasonality, with others reporting weakness in the industrial, automotive and networking equipment markets. We have very high share in these markets, so that is an inevitable drag on our royalty revenue. The midpoint of our Q1 guidance is for revenue to be up 33% year-over-year. We expect cost to be up about 25% year-over-year, largely due to head count growth. And we are guiding the midpoint of our fully diluted EPS to be up 42% year-on-year. Looking into the rest of the year, we expect that Q2 will be down on Q1, mainly due to the timing of license deals, with Q3 back up to similar levels to Q1 and Q4 to be another record quarter again. This results in an FY revenue midpoint that aligns closely with consensus. To conclude, Arm has had an another outstanding quarter with record revenues driving increasing profitability. Arm is a unique company in the semiconductor industry as we are an established business that is driving both revenue and profit growth of at least 20% year-over-year. We expect that growth to continue for at least the next 3 years, helped by the increasing demand for our technology across all markets, but especially in the data center, smartphones and PCs or AI is becoming increasingly important.
Operator: So up until 8 o'clock p.m. we would like to have a Q&A session. [Operator Instructions] So we would like to start with Mr. Tokunaga of Daiwa Securities.
????: I have finance section. I have 2 questions to the finance section. First, Page 24. Asset-backed finance. JPY 21 trillion of our listed asset utilizations and already considering the diversification for the offense mode, what kind of discussion is taking place internally now for the asset-backed financing?
Yoshimitsu Goto: Thank you for your question. So for the diversification point of view, we check and discuss by each portfolio assets to seek for the best term whenever we need any financing. So we don't have any specific scheme or anything. This is just a normal financing, utilizing shares. So including simple margin loan, forward utilization, sometimes utilizing derivatives. So there are a variety of financing scheme that we can think of, so depending on objective and also the timing that we are discussing to decide.
????: I have a second question. On Page 10, so strategic investment commitment, JPY 5 billion. And by breakdown basis, what is the timing and what kind of sector you're going to invest from this JPY 5 billion?
Yoshimitsu Goto: So total is JPY 5 billion for commitment, of which, mainly GreenBox joint venture is relatively large out of this JPY 5 billion. So I will say about 70% of this JPY 5 billion is a commitment for the GreenBox joint venture. And another thing, some payments to Wayne is also included in this commitment. And as for JV commitment, it's not all decided in terms of payment schedule, depending on the autonomous driving projects -- progress and when necessary that we invest. So at this moment, we don't have any clear investment schedule, but there is going to be utilized over time.
????: Then let me follow up. So in cases, you may exceed JPY 5 billion, is that correct?
Yoshimitsu Goto: In the whole year, for this commitment, maximum JPY 5 billion. Now that we are entering into a new fiscal year. So for this fiscal year, there will be several discussions, negotiation. We may consider onetime payments. And in addition to that, depending on the discussion with the counterparty, we may pay over time.
Operator: And next question is Oliver Matthew from CLSA Security. Oliver.
Oliver Matthew: Continuing on the committed investments, is this a sign that the environment is getting more constructive? And if so, should we expect this number to pick up going forward? And maybe if we could comment from the SoftBank Group and also from SoftBank Vision Fund side.
Yoshimitsu Goto: Thank you very much for your question. Yes, the environment or market condition is getting positive. Yes, you're right, it's constructive. And from SoftBank perspective, we, as a company, want to focus more on investment. I think that is reflected in the $5 billion commitment. In reality, if companies to be invested want to expand much more than we anticipated or we think, sometimes we feel that kind of enthusiasm very recently. So I hope I answered your question.
Navneet Govil: Just to continue to add to what Goto-san said, from the Vision Fund standpoint, in 2023, we invested in 35 new and follow-on investments. And some of our recent investments include companies like Travel Park, Tractable, Cato Network, Metsera. So our pipeline is quite robust. We're definitely seeing a lot more opportunities in 2024 than we did in 2023. But as a reminder, we continue to assess new opportunities based on 4 factors: the quality of the AI, tech stack, product market fit and scalability, unit economics and execution excellence.
Operator: We take next question. So we have nobody raising hand at this moment. We just have Tsuruo-san of Citigroup.
Mitsunobu Tsuruo: So based on the assumption, my assumption, we've been seeing the newspaper coverage talking about large investment, regardless this is truth or not. But if there is any large investment, how much cash availabilities or the investment availability you have? Loan to value is 25% policy there. Based on that, how much debt can you raise? And also, you have one company is also vulnerable to the volatility and even taking a loan to value 25% and can you lever fully to make such a large investment. I would like to ask Goto-san to answer this question.
Yoshimitsu Goto: Yes. Thank you. I would say financial policy within -- keeping this financial policy, that leads us to doable investment amount that we can. So that's the kind of a position I have. So when you say that how much can we do? So like you said earlier, our equity holdings is not the only source for our financing. Actually, we have a variety of option because, going forward, there are many ways of investments we can. And if we like to utilize shares for our financing, then that's going to need more room for restructuring And if that's the -- from that perspective, we can only raise with our existing holdings with a certain level of the loan-to-value, but it's not only that, but actually, we can structure, like joint venture we have like GreenBox, or there are way of project financing. So there are many options available out there. So we cannot simply set how much project can we address, how much investment can we spend. That's a bit difficult to answer straight because of that reason. So we would like to combine in a very well manner. And at the same time, each other entity's credit or each company financing themselves is also the case for utilizing shares or look for the project financing. And then that we may only limit to sell [indiscernible] equity and still can raise the amount that requires for the project. So when we have clear picture on the project, I would like to touch on that one by one. And what I'm trying to say is that we are keeping our financial policy. That's never changed. And that's the kind of a base for all those assumptions or calculation.
Operator: That concludes our investor briefing for the earnings results fiscal year ended March 31, 2024. This call will be available on demand on our corporate website. And if you could cooperate with us by giving us a survey result, that would be great. Again, global conference will start in 1 hour. Thank you very much.